Operator: Greetings and welcome to the Caesarstone First Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Cray, Investor Relations. Thank you, sir. You may begin.
Brad Cray: Thank you, operator and good morning to everyone. I am joined by Yuval Dagim, Caesarstone’s Chief Executive Officer; and Nahum Trost, Caesarstone’s Chief Financial Officer. Certain statements in today’s conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the company’s current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the company’s most recent annual report on Form 20-F and subsequent filings with the SEC. In addition, on this call, the company will make reference to certain non-GAAP financial measures, including adjusted net income, adjusted net income per share, adjusted gross profit, adjusted EBITDA and constant currency. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company’s first quarter 2022 earnings release, which is posted on the company’s Investor Relations website. Thank you. And I would now like to turn the call over to Yuval. Please go ahead.
Yuval Dagim: Thank you, Brad, and good morning, everyone. We are thrilled to produce our sixth consecutive quarter of revenue growth as we continue to successfully execute our strategy to transform Caesarstone into a leading premium multi-material countertop company. We achieved record first quarter revenue, increasing 18.5% year-over-year on a constant currency basis to $170 million, led by strong performance by our teams in the U.S. and Canada. More specifically, we benefited from several factors helping to drive our growth. First, organic growth from the successful integration of our Omicron Granite & Tile business, acquired in the fourth quarter of 2020; second, continued strength in the big box channel; third, expansion of our innovative digital platform, CS Connect, in North America; and fourth, successful execution of our strategic initiatives to capture a growing share of demand in our end markets. Additionally, in our big box channel, which includes IKEA and other large retailers, our sales during the quarter remained strong overall, with continued recovery in our IKEA business. On the customer engagement side, we are seeing continued positive reception of our digital CS Connect platform, where we now have nearly 900 retail partners and counting, compared to 700 partners 1 quarter ago. The platform has performed exceptionally well and is creating new revenue channels for Caesarstone, while bringing us closer to our customers and business partners by providing an end-to-end solution for our partners that effectively manages their countertop value chain. Overall, our results for the first quarter were in line with our expectations as we are benefiting from healthy demand for our products, successful integration of our acquired businesses, expansion of our digital platforms, and the focused execution of our multi-material growth strategy. To that point, we are excited to introduce new multi-material product offerings in 2022, starting with an innovative new global porcelain collection under our Caesarstone brand that will be launched in the third quarter. The vast majority of the porcelain products will be produced in India, through our integration of Lioli Ceramica and we could not be more excited to further extend our innovative countertop offerings and penetrate more to our addressable markets. We are also happy with our recent quad product launches, including 8 new designs in the first quarter of 2022, which have been received well by customers thus far. Our first quarter results also reflect the price increase we previously announced in January to mitigate raising costs. This is also reflected in the gradual gross margin improvement compared to the fourth quarter of 2021. We recently announced an additional price increase in April to further mitigate rising costs related to shipping and raw materials. In conclusion, we are proud of our entire team’s efforts to capture strong global demand for our best-in-class products, and we are diligently monitoring the volatile global supply chain environment as we work to mitigate higher shipping and raw material costs through our announced pricing actions. We will continue to implement necessary pricing actions to pass through inflation and help us achieve our full year goals. As pricing actions become effective, we expect the positive sequential trajectory of our margins to continue into the following quarters. Looking to the balance of the year, we believe that our strong brand, cutting-edge multi-material product pipeline and strategic go-to-market initiatives collectively leave us well-situated to deliver on our objectives. With that, I will now turn the call to Nahum to discuss more details on our financial results and outlook.
Nahum Trost: Thank you, Yuval, and good morning, everyone. I will start by discussing our first quarter results. Global revenue grew 16.7% to a first quarter record of $170.4 million compared to $146 million in the first quarter of last year. On a constant currency basis, first quarter revenue was higher by 18.5%, compared to the same period last year, primarily due to strong performance in North America. In the Americas, constant currency sales were up 22.7%, mainly due to growth in Canada and in the U.S. In the U.S., sales were up 20.3% driven by strong organic growth. We experienced solid double-digit growth also in sales of our natural stone products through our Omicron business. In Canada, sales were up 33.5% year-over-year on a constant currency basis, driven by strong performance in all channels, with IKEA sales more than doubling year-over-year. In the APAC region, constant currency sales were up 6.2%. Australia accounts for the majority of our sales in the region and saw a year-over-year growth despite headwinds from supply chain issues. In the EMEA region, constant currency sales grew 26.4%, primarily reflecting strong performance in the UK, as well as in our indirect markets. In Israel, on a constant currency basis, sales were up 12.9% in the first quarter, reflecting solid core business performance. Looking at our first quarter P&L performance, our gross margin was 25.3% for the quarter. Adjusted gross margin was 25.4%, compared to 30.1% in the prior year quarter. This year-over-year difference in gross margin was in line with our expectations and primarily reflected higher shipping costs, in addition to continued pressure from raw material prices mainly in polyester. This was partially offset by selling price increases and favorable product mix. As we have discussed in previous quarters, we continue to experience pressure from rising costs associated with shipping and raw materials, given the ongoing tight supply environment impacting our industry. In the first quarter of 2022, we were impacted mainly from shipping cost increases across our global footprint. We expect the unfavorable impact of higher raw materials and shipping costs to persist. In response, we expect to partially mitigate this impact through an additional price increase that went into effect during April 2022, following our first quarter price increase that went into effect on January 1, 2022. Operating expenses were 21.2% of revenue, compared to 22.8% in the prior year quarter. Excluding legal settlements and loss contingencies, operating expenses were 21.7% of revenue compared to 22.3% in the prior year quarter, mainly due to the higher revenues. Adjusted EBITDA in the first quarter was $15.7 million, representing a margin of 9.2%, compared to $20.3 million or a margin of 13.9% in the prior year quarter. The year-over-year decline primarily reflects the lower gross margins in the current period. Adjusted diluted earnings per share in the quarter was $0.14 compared to adjusted diluted earnings per share of $0.42 in the same period last year on a similar share count. Turning to our balance sheet. Caesarstone’s balance sheet as of March 31, 2022, included cash, cash equivalents and short-term bank deposits and short and long-term marketable securities of $64.2 million, with a total debt to financial institutions of $11.8 million, providing us with a solid net cash position of $52.4 million. We used approximately $23 million of cash flow for operations during the quarter. This was primarily due to a $24 million increase to our inventory balance during the quarter to support higher revenues, and also, as global shipping pressures have extended product lead times. With all of this in mind, we believe our balance sheet remains strong, with ample resources in place to execute further on our strategic initiatives. Moving to our outlook. We are reiterating 2022 guidance for revenue to be in the range of $710 million to $725 million. This implies growth of approximately 11% over 2021 at the midpoint of this range. The drivers of growth are volume and price improvements in our key markets. We continue to expect adjusted EBITDA as a percentage of sales to remain similar compared to 2021. We anticipate higher sales and selling prices to offset increased costs in connection with raw materials and shipping. Our outlook also includes the investment costs associated with our Global Growth Acceleration Plan. With that, let me turn the call back to Yuval for closing comments.
Yuval Dagim: Thank you, Nahum. In closing, we are pleased with our strong start to 2022 as we continue to transform Caesarstone into a global countertop leader. As we move through this year, we are focused on executing further against our Global Growth Acceleration Plan to gain market share and build additional shareholder value, while carefully monitoring the volatile global supply chain environment. As I mentioned earlier, we have announced pricing actions that provide us with confidence in our ability to navigate the rising cost environment, and we will look to implement further pricing actions as necessary to achieve our full year objectives. We also remain committed to our long-term goal of becoming a $1 billion global countertop player by 2025 for multiple growth levers. We are driving forward to achieve our long-term goals by leveraging our efforts in technological transformation and augmented go-to-market strategy and premium brand recognition. In combination with our new cutting-edge multi-material product offerings, we believe we are on the right trajectory to accomplish our objectives and drive additional value creation. I look forward to updating you further on our progress in the coming quarters. Thank you and we are now ready to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Stanley Elliott with Stifel. Please proceed with your question.
Stanley Elliott: Hi, everybody. Thank you, guys for taking the call. A quick question. Nice to see the kind of reiteration of the guidance. Could you talk about the magnitude of the price increases in 1Q and 2Q? And then within that framework, if you’re keeping kind of the 11% sort of full year number out there, did the volume outlook stay the same with that additional pricing? Is FX getting worse? Any help with the moving pieces there would be great.
Yuval Dagim: Hi, Stanley, good to hear for you. First, I think it’s great to see that the first quarter is pretty much in line with our expectations and even a bit better. Very promising was to see the improvement on gross margin against Q4 of 2021. Hence, the price increase is stacking up in the market, broadly speaking, accepted this price increase to mitigate the rising costs that we experienced in the last, if you like, two quarters of 2021. With that in mind, what we see now in Q1 and the beginning of Q2 is some further increase of those costs. So we are expecting to mitigate those with another price increase that we announced in March, effective something like 15th of April to mitigate the further costs or inflation that we experienced in the first quarter of this year, all on the back of the latest global crisis.
Stanley Elliott: Could you talk...
Nahum Trost: Yes. And in addition to your question, in the first quarter, we saw an increase in revenue that is coming not only from the price increase, but also, coming from quantities. So it’s a combination of those two items.
Yuval Dagim: Pretty much a 50-50 between prices and volume.
Stanley Elliott: Okay. And is that 50-50 kind of going to hold for the full year then, as well?
Yuval Dagim: We think that during the coming quarters, pricing actions will be more dominant than volume. We are expecting both to contribute to our growth of double digit this year as well. But I think pricing will be a bit more dominant in volume going forward in the coming quarters.
Stanley Elliott: Perfect. And then, can you talk about the manufacturing footprint? I mean are you seeing less costs in the Americas versus Israel or India? Just curious kind of how the global footprint – and I get it that you have a lot more transportation costs coming out of India and Israel, but would love to hear how the manufacturing footprint is operating.
Yuval Dagim: Nowadays, I think – we think with the current shipping prices that we are experiencing, the footprint is actually servicing us quite well. We are located with sources from China through India, Israel, and then, in the U.S. So actually, our proximity to the market is quite good. And the spread of our sources of products is actually a worldwide spread. Hence, we are utilizing more our facility in the U.S. nowadays. And we are, on the other side of the ocean, if you like, on other side of the globe, utilizing more our OEM supplier in China to be servicing our business in Australia. So, utilizing the global footprint of our – to the best as we can.
Stanley Elliott: And then lastly, the commentary on the big box channel. Is that just IKEA coming back? Are you getting placement in new locations? Is it new SKUs? Would love to hear kind of how you are thinking about that part of the go-to-market strategy?
Yuval Dagim: Two-folds for my answer on this one. First, in the first quarter, indeed, we have experienced an increase of revenue, volumes and activity with the IKEA business of ours. At the same time, we were very pleased to hear from Lowe’s that we are now a greater partner of them, again, a business partner of them, and we are putting more and more designs of their brand and our brands in Lowe’s as well. So, the big box strategy that we developed over the last few years is happening, and the execution is very well, and we are very pleased with this.
Stanley Elliott: Great guys. Thanks so much. I appreciate the time and best of luck.
Yuval Dagim: Thank you, Stanley.
Operator: [Operator Instructions] Our next question comes from the line of Reuben Garner with The Benchmark Company. Please proceed with your question.
Reuben Garner: Thank you. Good morning everybody or good evening I guess. So maybe, just to startoff, a follow-up to Stanley’s question on the volume side, is there anything that you are seeing recently in your order data to start of the second quarter that had you maybe, a little bit more cautious, or are you just looking at the kind of global environment and rising rates and just maybe, taking a cautious stance as a result of that?
Yuval Dagim: I believe that at the moment, what we are experiencing is quite strong demand to our products. We are expecting this demand to continue during the year, especially on the back of the previous quad product launched from the first quarter and the expected porcelain product launch in Q3 of this year. So, we continue to bring our innovative designs to the market. And on the back of a very strong brand, Caesarstone brand, we are expecting the demand to our products to continue to be strong through all year long.
Reuben Garner: And if there were a slowdown, how do you – I know this year was supposed to be a big kind of year for you guys from an investment standpoint in growing the business. How do you guys think about the SG&A investments that you are planning, if there is a pullback in growth, globally? Do you think you would pull back on the spending to grow the business, or do you think you would kind of press forward with it given your balance sheet and capital situation?
Yuval Dagim: We are demonstrating a very close, very tight cost control, if you like, Reuben. And with that in mind, we will be monitoring diligently the volume and the demand to our products during the year. Just bear in mind that we are – we have budgeted for those launches that I mentioned earlier, and they are already in our sales and marketing spend or planned spend for the year. And so far, we haven’t seen any signs that should be driving us to change our original plan.
Reuben Garner: Great. And can you update us on your strategy in the U.S.? I know it’s early days in integrating your acquisitions and kind of unfolding that strategy into some other markets, any progress or update there?
Yuval Dagim: Sure. Indeed, the U.S. market is where we have our greatest opportunity and where we are making our most – putting our most efforts and focus. We are more exposed now to – as we plan to be – to the remodeling and renovation sector. So, we are less, less dependent on big projects to extend. And we are focusing on launching our digital platform, CS Connect, continue our penetration to the big box channel and working on our footprint in the U.S. Omicron was one step in the right direction. We are looking for more steps like the Omicron acquisition to see if we can improve our footprint in the U.S. and to cover more intensively more metros of the U.S. markets.
Reuben Garner: Great. And then, last one for me. Balance sheet is obviously in great shape. Just curious how you guys are thinking about that in this market, given where the stock is, how do you think about, maybe, share repurchases? Is that something that’s come up as a potential use of cash? And if you already spoke to this, apologies, I had some technical difficulties earlier in the call.
Nahum Trost: Currently, Reuben, our – the main purpose of our cash is to serve the growth that we see, and to serve for any potential M&A that might come down the road. So, those are the main usage for our cash.
Yuval Dagim: Reuben, in addition to that, I think we are quite consistent in saying to investors and analysts that we would like to see our cash being directed to fuel the growth of the company. We said when the growth was still ahead of us, and now, when the growth is happening, it’s even a stronger message on that. So, the cash that we have should be servicing – continue to be servicing our growth. And as Nahum mentioned, M&A is part of our growth strategy as well.
Reuben Garner: Great. Thanks guys.
Yuval Dagim: Thank you, Reuben.
Operator: Thank you. We have reached the end of the question-and-answer session. Mr. Dagim, I would now like to turn the floor back over to you for closing comments.
Yuval Dagim: Thank you for your attention this morning. We look forward to updating you on our progress next quarter. Thank you very much.
Nahum Trost: Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.